Operator: Thank you for standing by. This is the conference operator. Welcome to Extendicare Inc. Fourth Quarter 2024 Analyst Conference Call. [Operator Instructions] I would now like to turn the conference over to Jillian Fountain, Vice President, Investor Relations. Please go ahead.
Jillian Fountain: Thank you, operator, and good morning, everyone. Welcome to Extendicare's 2024 fourth quarter and full Year results conference call. Joining me today are Extendicare's President and CEO, Michael Guerriere; and Executive Vice President and CFO, David Bacon. Our Q4 results were released yesterday and are available on our website, as is a live audio webcast of today's call along with an accompanying slide presentation. An archived recording will also be available on our website following the call today, as well as replay numbers and passcodes have been provided on our press release to access an archived recording until midnight on March 14. Before we get started, please be reminded that today's call may include forward-looking statements and non-GAAP and other financial measures. Such forward-looking statements involve known and unknown risks and uncertainties that may cause the actual results to differ materially from those of expressed or implied Today. We have identified such factors as well as details of non-GAAP and other financial measures in our public filings with the Securities Regulators and suggest that you refer to those filings. With that, I'll turn the call over to Michael.
Michael Guerriere: Thank you, Jillian. Good morning. Two years ago, we set out to transform our Company into Canada's leader in the delivery of high-quality long-term care and home care services. We envisioned a model that would allow us to leverage our deep expertise to drive growth in a more capital efficient manner. Since that time, we have steadily executed on that plan, and I am pleased to share our progress with you today. Yesterday, we announced strong fourth quarter and full-year results. Adjusted EBITDA excluding out-of-period Items increased by 43.5% to $33.4 million. Our momentum over the last two years continued into Q4, with all segments showing significant NOI and margin growth as well as improved operating metrics. In our long-term care segment, Q4 NOI margins increased 150 basis points from the prior year, supported by funding increases, improved occupancy, and reduced agency costs. On the home healthcare front, we delivered a record 11 million hours of care in 2024, with Q4 showing a 10.1% increase in average daily volume from the prior year period. Margins improved 160 basis points, driven by operating efficiency and higher rates. In November, the Ontario government confirmed a 4% rate increase for the home care sector retroactive to April 1, 2024. This rate increase will support our team members and expand service delivery by enhancing compensation, strengthening recruitment and retention, and supporting investments in technology for innovative care. We welcome this funding increase in recognition of the importance of the home healthcare sector as a critical component of seniors care that facilitates continuing independence, enabling people to live at home for as long as possible. In managed services, we opened a new home in Kingston, adding 192 beds to the Axium JV. Subsequent to quarter end, we opened another 256 beds in Stittsville, Ontario. Organic growth in bed service by SGP increased 7.4% year-over-year, reaching 146,300 beds, contributing to strong results in the quarter. Margins in the managed service segments stayed within the 50% to 55% target range. These results demonstrate the effectiveness of our strategy and give us great confidence in the future as we continue to address the increasing demand for care services. Slide 4 details the positive impacts of our strategic transformation. We delivered steady growth in both managed services and home healthcare, reporting significant increases in net operating income and margins year-over-year. These two service lines now account for about 55% of our net operating income. We continue to leverage our capital-light higher-margin approach to redevelopment supported by our joint venture with Axium. This enabled us to open two new homes and commence construction on two more. I'll provide more detail on these projects in a moment. Thanks to consistent focus on execution by all of our team members and financial and operating performance improvements across all business segments, our dividend payout ratio for 2024 was less than 50%. This performance, coupled with our strong balance sheet and liquidity position, enabled us to announce a 5% increase in our common share dividend to $0.042 per month beginning in March. With continued growth momentum in our operations, we have the option of including dividend increases in future capital allocation decisions. Now, I'll turn to our progress in long-term care home redevelopment on Slide 5. In December, we began construction on two new homes in Port Stanley and London, supported by the Ontario government's enhanced construction funding subsidy. The new builds will replace 230 Class C beds in two existing Extendicare homes and are expected to open in the first half of 2027. Both projects together with the St. Catharines project, which we started in September, are under agreement to be sold to the Axium JV, pending regulatory approval, with Extendicare retaining a 15% managed interest. This results in our managed services segment receiving both development fees during construction and management fees once the home is operating. We expect to close the sale of these projects to the JV in Q2. As mentioned, we also recently opened two new homes, both held in the Axium joint venture, replacing legacy Extendicare C homes nearby. The first is Limestone Ridge, a new 192-bed home in Kingston that opened in December, and this month, we welcomed residents for the first time to Crossing Bridge, a new 256-bed home in Stittsville. The sale of the vacated Kingston C bed home was completed in December for proceeds of $3.7 million, and we have initiated the sales process for the vacated Ottawa home. That leaves us with six homes under construction, which will bring 1,408 new beds into operation to replace 1,097 Class C beds. This progress highlights the outstanding efforts and dedication of our team. We're excited to welcome residents and their families to their new homes and grow our care community. The redevelopment team is also advancing 12 other projects to replace our remaining C homes in the coming years in anticipation of future capital funding subsidy programs. In November, we announced an agreement with Revera to acquire nine Class C long-term care homes in Ontario and Manitoba, along with one parcel of vacant land for $60.3 million. This is summarized on Slide 6. This purchase will be funded from cash on hand. We continue to work through regulatory approvals and anticipate that this transaction will close in Q2 of this year. The acquisition will move almost 1,400 long-term care and private pay retirement beds from our managed services segment to our long-term care segment. We plan to redevelop the 361 long-term care beds housed in the mixed-use homes into six new long-term care homes, adding approximately 1,100 beds to our redevelopment pipeline as we work to meet growing demand. Additionally, a new Axium JV 320-bed home near Ottawa is under construction to replace the Carlingview Manor seabed home, which is included in the nine home purchase from Revera. We expect to recover most, if not all, of the purchase price for this acquisition by selling the seven operational pure-play retirement homes after the LTC beds have been redeveloped. Relatedly, Revera announced an agreement to sell 21 Class C long-term care homes that are currently managed by Extendicare. As a result, upon closing of the transactions, Extendicare's management agreements with Revera for 30 homes will terminate. We anticipate that the net impact of these two transactions will be accretive to earnings with a projected increase in annual NOI of $6.8 million and AFFO of $1.4 million or $0.02 per share. We will continue to look for acquisitions that are consistent with our strategy and leverage our technology platform to add scale and synergy to the business. Now, I'll turn it over to David Bacon to discuss our financial results in more detail.
David Bacon: Thanks, Michael. I'll start by reviewing the consolidated results for the quarter, then review the balance sheet and our liquidity position. Our consolidated Q4 revenue increased by 11.8% to $391.6 million, driven by the same factors that have fueled growth throughout most of 2024, including LTC funding increases and occupancy recovery, growth in our home care volumes, increased bill rates, and expansion of our managed services. Excluding an out-of-period net benefit in revenue of $0.9 million recognized in the quarter, our NOI improved by $10.1 million or 27.1% to $47.5 million. This reflects our revenue growth and strong operating metrics across all segments, partially offset by higher operating costs. Excluding the impact of out-of-period funding, adjusted EBITDA increased by $10.1 million or 43.5%, reflecting the improvement in NOI supported by stable administrative costs. We delivered another quarter of robust growth in the fourth quarter with AFFO of $0.34, up $0.23 in the same period last year. When adjusted to remove out-of-period funding in the quarter, our AFFO per share increased year-over-year by $0.10 to $0.28. Extendicare ended the year in a strong liquidity position. The Company held cash on hand of $122 million and access to a further $108 million under our new $275 million senior secured credit facility. As previously announced, the Company accessed its delayed draw term loan facility in December to redeem the $126.5 million of 5% convertible unsecured subordinated debentures that were due to mature in April of 2025. With the repurchase of the debentures, we are ending the year with a strong balance sheet and a favorable maturity profile. We have reduced our payout ratio on AFFO throughout the year, giving us enhanced financial flexibility. We're starting 2025 from a position of strength and demonstrated ability to pursue our redevelopment agenda with our capital-light model in partnership with Axium, which will drive growth in our higher margin managed services segment. The structure also allows us to recycle capital from the disposition of vacated legacy C-homes into new projects, which provides us additional flexibility to meet our capital needs. Turning now to our individual segments, starting with long-term care. Our Q4 results included out-of-period funding of $1.9 million to support union wage settlements that were retroactive to April of 2023. Excluding this out-of-period funding, our revenue increased by $16.6 million, driven by the funding increases, timing of our envelope spend, and our improved occupancy. NOI increased by $4.7 million, driven by increases in revenue, partially offset by higher operating costs. Corresponding NOI margins increased to 10% in the quarter from 8.5% last year. Long-term care continues to benefit from this year's funding increases, which have helped manage inflationary pressures. Reduced agency staff usage, especially in Western Canada, further improved our cost structure, helping us to maintain our historical NOI levels. Turning now to our home healthcare segment, the 4% bill rate increase announced late in Q4 in Ontario, retroactive to April 1, 2024, allowed us to recognize $4.4 million of revenue in the quarter. As you may recall, similar timing of rate increase announcements occurred last year, when a 6.7% increase was announced late in Q4 of 2023, which was retroactive to April of 2023. At that time, we recognized $5.4 million of out-of-period revenue in the quarter. In both cases, the revenue recognized reflects a recovery of eligible costs that were previously incurred in the corresponding retroactive periods, resulting in a year-over-year decrease of $1 million on revenue and NOI. The 4% bill rate increase will allow us to make further enhancements to our compensation programs and ongoing investments in recruiting, retention, and technology in Q1 of 2025. Similar to the prior year, we expect to have one-time revenue and largely offsetting expenses recognized in Q1 related to the balance of the 4% funding increase, which will have minimal impact on NOI. In terms of the home healthcare results for the quarter, revenue reported in the fourth quarter increased by $20.6 million, or 16.2% from 2024 - from 2023, driven by the 10.1% year-over-year growth in volumes and supported by bill rate increases. Excluding the reduction in funding, NOI increased by $4.2 million, or 39.4% to $14.9 million, with an NOI margin of 10.4%, an increase of 160 basis points over the same quarter last year. Finally, turning to our managed services segment, our revenue increased by $2.3 million in the quarter to $18.8 million, largely due to organic growth in SGP clients and changes in the mix of assist services, including management fees from the newly opened homes in the Axium JV. NOI increased by $1.2 million to $10.3 million, with an NOI margin of $54.6 within our expected range for this segment of between 50% and 55%. With that, I'll pass the call back to Michael for his closing remarks.
Michael Guerriere: Thank you, David. This has been an outstanding year at Extendicare, and we are starting 2025 from a position of strength and momentum. Our fourth quarter and full year results give us confidence in the potential of our business model and in the leadership team that is making that potential a reality. I'll take a moment now to thank Al Mawani, who retired from our Board yesterday after seven years of dedicated service. He chaired several Board committees and provided strategic counsel during his tenure, contributing to the success of our transformation agenda. We are deeply grateful for Al's contributions and the insights that he brought to the Board's deliberations. Yesterday, we were delighted to announce the appointment of two new, highly accomplished individuals to our Board of Directors, Donald Clow and Heather-Anne Irwin. Their proven track records and governance experience will bring new insights to the Board as we pursue our strategy to meet the needs of our stakeholders and create shareholder value. While we find ourselves in a time of increased political and economic uncertainty, one undeniable truth is that the demand for healthcare and services from the seniors population will continue to grow for years to come. Canada, as a country, is challenged to deliver the highest standards of care and services to our aging population. Extendicare is committed to meeting that challenge. It is this commitment that pushes us to continuously expand our redevelopment portfolio, to invest in technology, to strengthen our recruitment and training programs, and to look for complementary acquisitions. This is made possible by maintaining a healthy balance sheet and a very disciplined approach to capital allocation. The growth and improved performance we are experiencing today is made possible by our team, who are dedicated to helping people live better. I offer my congratulations to them on a successful year of outstanding care delivery and expanding access to care for tens of thousands of seniors who depend on us for a better quality of life. We are sincerely grateful to each person who helps make Extendicare the caring community that it is today. With that, we're happy to take any questions that you might have.
Operator: [Operator Instructions] The first question comes from Kyle McPhee with Cormark Securities. Please go ahead.
Kyle McPhee: Hello, everyone. Great quarter. I'm thinking about the capital allocation decisions I see you making. You have an underleveraged balance sheet. You have excess capital building up. And in the face of this great capital position, you're using the capital-light JV structure for your Class C redevelopments. Now, that doesn't dip into your excess capital, but probably does leave some cash flow on the table long term. And now we see you increasing your dividend by 5%. You likely had room to pick it much higher if you wanted to. So, help me with the readthrough here. It seems like you're sitting on a big and attractive use of capital. So, can you share some thoughts on what you're saving your capital for and when might the capital deployment start beyond the Revera deal?
Michael Guerriere: Well, I think the capital deployment started last year with the acquisition that we announced in December. And we will use our balance sheet to fund that acquisition that we expect to close in Q2. And we are actively looking at other acquisition opportunities. We'll be very disciplined in looking at those and looking for acquisitions that fit very tightly with the strategy that we've articulated and that give us organic growth opportunities. I'd say organic growth is very important to us. So, when we look at acquisitions, we're looking at acquisitions that will support further organic growth going forward. So, I think that's the kind of thing that you can look forward to in the future. And as we see what kinds of opportunities come up in that regard, we'll be balanced in our capital allocation. And as I think we're demonstrating with choosing to include a dividend increase in our plans this quarter.
Kyle McPhee: Got it. Okay. Thanks for that color. And then, I mean, how much of what you're looking at in your M&A pipeline has to do with changing the weightings across your various business segments, maybe adding a new business segment, or is it more kind of mechanical and you're just putting your capital to the highest return on capital opportunities you see?
Michael Guerriere: Well, first, I don't see us adding any new business lines to our strategy at this point. We have a very long runway of need across the country for home care and for long-term care. So, we'll stay very disciplined in those spaces. There are a lot of opportunities for us to expand from a geographic perspective into other provinces or into other regions of the provinces where we already operate. So, we see enough opportunity there to stay focused in our strategy. And Kyle, it does give me an opportunity to just highlight how much we've invested in our back office, in our systems, in our cloud-based solutions. And so we very much are looking to leverage those and take advantage of the operating leverage that comes from adding volume to that existing platform. So, that's why we'll stay disciplined in the spaces that we're in using the capital structure that we've set up.
Kyle McPhee: Got it. And last one, to round out this topic, you mentioned buying things that also offer organic growth. When I think about a long-term care home, there's a fixed number of beds. So, is this suggesting that your M&A pipeline is probably weighted more towards home healthcare?
Michael Guerriere: I would say that we're looking at potential acquisitions in all three segments. And so no, I wouldn't say that it's weighted on any particular segment, but purchases in long-term care will be aimed at increasing the services model that we're using, as opposed to big expansions in our real estate holdings. I think we want to move more in the direction of operating long-term care homes and find to have the minority stakes that we do in the joint venture. But I think we'd rather operate homes and focus on services than on expanding our real estate holdings.
Kyle McPhee: Got it. Okay. Thank you very much for the answers. I'll pass the line.
Operator: The next question comes from Jonathan Kelcher with TD Cowen. Please go ahead.
Jonathan Kelcher: Thanks. Good morning. First question, just on the home healthcare, 10% year-over-year growth, obviously very strong. And I think you're in around 10% for most of 2024. How should we think about the year-over-year growth going forward?
Michael Guerriere: Well, this is always the big challenge in predicting what that demand curve looks like. We've often in the past pointed to the demographic drivers, which have been around 4% per year for the customer base that we're serving. But what we've seen in recent years is, first of all, a catch-up on the backlog that grew during the pandemic. But now, what we're seeing is that growth in long-term care services and even private pay retirement capacity has slowed down. And so, it's not keeping up with the demographics. And so, home care is being turned to, to fill the gap. So, right now, we're not seeing any slowdown in the demand for home care services. So, I think we may be closer to the high single digits than the low single digits for the foreseeable future. But that can change depending on capacity in the other segments.
Jonathan Kelcher: Okay. So, your limiting factor in your term would, I guess, just be your ability to hire more staff.
Michael Guerriere: Well, at this point, we've pretty much solved that issue. I mean, we're certainly able to grow home care at a 10% annual clip. So, I think at this point, it's more the demand that is driving the growth rate as opposed to our ability to recruit and train people to deliver the service.
Jonathan Kelcher: Okay. That's good. On for long-term care and, I guess, home healthcare, what are your expectations for rate increases this April?
Michael Guerriere: Well, we've been through a period of catch-up to the inflation that we experienced in the aftermath of the pandemic. So, I think the rate increases have been outsized just to catch up. But I think we see it returning now to keeping pace with inflation.
Jonathan Kelcher: Okay. And then lastly, and I guess it's back to capital allocation and first dividend bump. And you talked about it being below 50% payout ratio as one of the reasons. Should we sort of think about the 50% payout ratio as a way to forecast future dividend bumps?
David Bacon: Yes, John. I think, obviously, that's a factor that we'll look at. I think it was a decision that we took this time. As you pointed out, it's been 10 years or more. We take it looking at payout, looking at our liquidity, looking at our need for capital, and I think feel quite confident that we could make that increase. But we also do so with the outlook that we're fairly confident in our growth prospects. And therefore, we'll also look at how the business is performing going forward as the last piece of the puzzle, in addition to opportunities around other capital allocation and M&A. So, I wouldn't call the 50% payout as some hard threshold that we've now developed or will have, but certainly when you're down around that level, and if we can maintain that as long as we remain confident in the growth prospects and how the business is performing, it would be a factor. But I wouldn't want to think of it as a hard threshold.
Jonathan Kelcher: Okay, fair enough. I'll turn it back. Thanks.
Operator: The next question comes from Christopher Pugh with Canaccord Genuity. Please go ahead.
Christopher Pugh: Hi, thanks. Hi, Michael. Hi, David. I'm on the line for Tania. I just got a few questions. So, regarding construction costs and things like that for the year 2024 has been creeping up, just kind of wondering what could be the strategies for dealing with this and what could be the impact on the JV growth and perhaps meeting hurdles of Axium?
David Bacon: Yes, sure. I think a couple of thoughts there. I do actually think, well, the costs for the new projects that we started last year would look higher than the first series of projects we started. We do feel that at the moment, construction cost had tapered off, leveled off. I say that before we get into maybe some of the more recent discussions around tariffs and tariff threats, et cetera. We did see, I think, a period of leveling off, which is also why you were able to see us start three new projects late in the year with the capital funding subsidy, which didn't change from the year before. We did see that. I think going forward, a couple of comments. There is some uncertainty now, but potentially with tariffs on what that does to inputs, it's probably more the reciprocal tariffs that Canada may put in place. I think the important thing is I don't think any of us know what that's going to look like. It's impossible to tell, but we do have to monitor that collectively and not just on our construction costs, but other things, but we really don't know. We need to let that play out. I think the other thing from our perspective is given the demand, given the backlog in LTC and the wait lists, the Ford government being re-elected for a new 4-year mandate, we do believe that the capital funding program will get revisited and continue to be monitored by the government and the sector. That's a bit of a lever to balance out effects, whether it's inflation or tariffs or interest rates. That goes for if costs go up or costs go down. We think there's still potentially some timing issues where perhaps the funding subsidy is a little out of whack with what's happening on the underlying cost, but we do believe the demand is there and we do believe the programs will adjust as needed to continue some pace of redevelopment.
Christopher Pugh: That's really great color and a really fair comment about nobody really knows what the tariff landscape will be. Just another follow-up question to the construction. I noticed that for the contracts, the fixed price for the contracts are always less than 100% of the total development cost. Just wondering, how come the contracts are not fixed to 100% of the expected cost? It seems like there was an uptick in the proportion of costs being fixed for St. Catharines since the Q3 report.
David Bacon: Yes, I think the construction cost contracts, the fixed price are for the hard costs of construction. That's all the inputs and the labor related to building the building. On top of that, there's contingencies, there's the value of both, there's the cost of the land, then all the related soft costs, architects, designers, we go through site plan approval, designers, et cetera. Then there's also furniture and fixtures that go into the building, so they're not part of the physical plant, but all of the equipment and beds and other equipment that we bring into the home. That's the delta there. There's quite a few other cost categories that go into building the building. Then there also is the last piece of our cost estimates is an estimate of the capitalized interest during construction. That's a function of the size of home, how long we expect it to take and obviously the underlying interest rate assumption. There's quite a few cost categories and other elements that go into that delta between the hard construction costs and the overall costs.
Christopher Pugh: That's a great detail there. My last question is in regard to the Class C semi-private home occupancy rates. It's definitely even higher than the pre-pandemic levels. It is lower than the other rooms, but it's at 72% right now. I'm just wondering how much more potential do you see for improving that occupancy rate?
David Bacon: We're always looking at trying to optimize that on the semi-private homes. The semi-private rooms in the old context and the C-beds in the new world with new A-bed homes and the redeveloped homes, the semis are less prominent. We're either building private or a basic room that actually looks like the old semis. I think there's always opportunity to improve that, but it's not something that would be material in the mix for us. Each of those is governed a bit also by the turnover that happens in the homes. We're always looking to try to optimize that, but there's a number of things that go into play in terms of those rooms versus the basic versus private. It's not really a material opportunity on the semis.
Christopher Pugh: Okay. Okay, sounds good, thanks. Those are all questions from my end.
Operator: [Operator Instructions] The next question comes from Douglas Loe with Leede Financial. Please go ahead.
Douglas Loe: Thanks, operator. Good morning, everybody. Michael, returning back to the theme on home healthcare growth, you mentioned that you have several options on the table, including expanding service hours, acquisitive organic growth in other provinces, and potentially acquiring a client base. One of the things I was thinking about that could be an option would be just expanding services on a per patient or per service hour basis. This example is just off the top of my head. May you perhaps provide infusion therapy for patients that need injectable pharmaceuticals or providing CPAP equipment for individuals that require respiratory care. That's just two of many examples. I'm just wondering if it's on the table that you could perhaps expand services into more high-acuity care as a way to sort of go top line in home care.
Michael Guerriere: Thanks, Doug. It's a good question. Note just to remind everybody that the services that we do provide in home care are all government-funded services. The way that works is that we receive referrals from government agencies with a fairly precise prescription of what services are to be provided to the patients. We don't really influence the types of services or the magnitude of the services provided to any one of our patients. That's prescribed by the agency that is procuring the service from ParaMed. I think we look at service expansions and moving more into other therapeutic areas through the various procurements that happen from time to time where we would bid on those services. By the way, the things that you mentioned by way of example, we do provide those services today.
Douglas Loe: That's good feedback. Thanks, Michael.
Operator: The next question comes from Pammi Bir with RBC. Please go ahead.
Pammi Bir: Thanks. Hi everyone. You mentioned acquisitions across segments, but in home healthcare, can you talk about the opportunities there and what range of maybe multiple you're seeing deals trend back?
Michael Guerriere: Home care is a very varied business with large operators like us and many, many, many very small operators or regional operators across the country. We're looking at that landscape and looking, as I said earlier, at opportunities that allow us to start operations in a geography where we don't operate or to add capabilities or services in a region where we do operate, but we don't provide that particular service. That's the way we're evaluating the opportunity. As far as rates are concerned or multiples, there really aren't great comps in the space to be able to really talk about what we're seeing in the market. I think that's part of our opportunity here is to look at this market from a consolidation perspective, but we'll be disciplined in the way we look at those opportunities and we'll seek to create either platforms for organic growth or acquisitions that are accretive to our current earnings.
Pammi Bir: Okay, that's helpful. I guess, really just one last one for me. In terms of coming back to the labor discussion earlier, are you anticipating any potential impact from some of the recent immigration changes in terms of the availability or access to the labor pools within ParaMed or in the long-term care segments?
Michael Guerriere: Well, so far Pammi, we haven't seen anything any impact. We've been able to recruit more than what we need. At the moment, we're managing recruitment to demand rather than throttling services to meet what we can recruit. I would say that probably more important for us is the labor market overall and the availability of labor. Looking at the unemployment rate and just generally the availability of labor as opposed to what the pace of immigration might be. We're not anticipating any significant issue there. As you may recall, we have our own in-house training programs to be able to hire people and bring them into the sector. We also have extensive partnerships with colleges and universities that have about 3,000 students placed in our homes and in our home care districts on an annual basis, which gives us a real opportunity at graduation to recruit people to our staff. So I think we've got that training and recruiting machinery working quite well. So, I don't see that as a constraint on our growth at this point.
Pammi Bir: Great to hear. It sounds like so there's no real need to perhaps lean into any sort of agency staffing at this point for any of the segments. So, okay. I will pass it back. Thank you.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Jillian Fountain for any closing remarks. Please go ahead.
Jillian Fountain: Thank you, operator. That concludes our call for today. This presentation is available on our website, as are the call-in numbers for an archived recording. Thank you all for joining us, and please don't hesitate to reach out if you have any questions. Goodbye.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.